Operator: Greetings. Welcome to the CX AI Third Quarter 2025 earnings call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If you would like to ask a question, please click on the ask question box on the left side of your screen. Type in your question, and hit submit. As a reminder, this conference call is being recorded. Now I would like to turn the call over to your host, Khurram Sheikh, Chairman and CEO of CXAI. Please go ahead.
Khurram Sheikh: Thank you, operator. Good afternoon, everyone, and thank you for joining us. I'm Khurram Sheikh, Chairman and CEO of CXApp Inc., trading on Nasdaq under the symbol CXAI, pronounced Sky. Also joining me on this call is our CFO, Joy Mbanugo. And before we begin, please note our forward-looking statements as outlined in our safe harbor statements as outlined in our disclosures. We're also submitting our 10-Q, which will be filed with the SEC, and you'll also see a press release that just got launched out there. So let me talk about Sky. You know, people ask me the question, what does Sky actually do? At Sky, we are defining the intelligent experience layer for the modern enterprise. Our platform blends AgenTeq AI autonomous context over agents, spatial intelligence that understands how people actually use the workplace. This combination turns data into decisioning, and routine actions into automation. We're not just another AI platform. We're the bridge between billions in corporate AI investment and the actual human experience at work. When people ask, what does Sky actually do? Here's my answer. We transform office buildings, campuses, and digital workspaces into living, learning, and adaptive environments. Environments that think and act with you. We now operate in 200 plus cities across 50 countries serving over a million users. And all of those users are using us in a very secure manner across all their campus environments, integrating all the enterprise functions into one application. I'm also proud of the great team we have. We have around 65 Willow Sky employees who are all based in multiple offices globally. In the Bay Area where our headquarters is, in Toronto, Canada, and in Manila. And more than 70% of them are in R&D. We're a technology-focused company. And this tells you that our DNA is an innovation company. So let's talk about, you know, technology-wise, what does this entail? And we've been the leader in the first mobile app for this application of workplace experience. Being cloud-first, and now we're AI native in terms of this deployment that we're embarking on with Sky 1.0 going to Sky 2.0. So, and I've shared these slides in the past, but I want to just reinforce the fact that we're building this as a platform. It's not a one-off application. The Sky apps go from all the way from your mobile device all the way to a kiosk or even larger. We'll talk about that today. Also be multi-OS and be able to be adaptive. Our BTS behind the scenes is our rule engine, our brains behind the Sky system that allows enterprise owners and users to control and manage the content as well as provide access control and create all the great things that will enable productivity at the workplace. I want to show you some great examples of that. And then finally, SkyView is our data analytics and ingestion engine that allows you to create your own dashboard, create your own analytics, and create insights and the outcomes that really matter at the end of the day. And all of this is hosted on the cloud. We're partnered with Google, as you know, but we also enable things on AWS and Azure. So we're multi-cloud. We're multi-application across the board, and we're building this as a platform for scale. So I want to talk about the market and what's happening within the market today and the market trends. Across this is a study done by McKinsey. And it's very enlightening to see that across the Fortune 500 where we participate, 88% of organizations say they can when they use AI, they only don't scale it to the enterprise level. So although AI is being used by more than a large percent of enterprises, they're not using a scale. They have the tools, but not the orchestration. That's where Sky comes in. Sky solves that execution gap. By unifying workflows, analytics, and human experience into a single agentic layer. It's what we call agentic orchestration, turning disconnected tools into intelligence systems that anticipate and act. Think of a global bank with 40 offices worldwide. You already have Teams, Zoom, ServiceNow, and multiple space management tools. But no unified experience. OriginChic engine stitches those environments together so that a team lead books a hybrid meeting in New York, the system automatically coordinates rooms, catering, visitor access, AV support across different time zones. It's invisible, autonomous, and measurable. Along with that, you've seen what's happening in the environment. You see a lot of CEOs are mandating return to office in AI tool adoption. Where employees are burned out and disengaged. That's the leadership expectation versus workflow reality divide. As executives, we are pushing return to office mandate employees create flexibility. The result is policy friction. Sky bridges that mandate to execution gap. For a major technology client in Silicon Valley, we used our platform to launch the new campus at headquarters. Right size their campus designs and footprint, allowing for colleague booking feature, to allow selecting where and who they want to spend their day providing an automated check-in process for their users via their internal badging system. This improved on-site attendance satisfaction scores as well as created higher employee engagement. That's productivity, collaboration, and sustainability altogether. That's the beauty of Sky. We enable all of these great capabilities, and the outcomes are coming very clear now with our clients. And, you know, this is not us just talking about it, and the world is taking notice. This quarter, Gartner named Sky as a representative vendor in the 2025 market guide for workplace experience applications. A category we helped define, by the way. We've been working with them for the last two years, you know, educating them on the benefits of AI and the benefits of our capability to enable this transformation. It's a validation that our combination of AgenTeq AI and spatial intelligence isn't just visionary. It's essential to the future of work. And, you know, we've been very happy to see this guide come out. There's also more work coming out from Gartner and their analyst. As we said in our first calls with you guys, there is going to be a new category called employee experiences. And I think the market is headed in that direction. This last quarter, we were super busy also with lots of events and lots of things happening in the market. Amplified our ecosystem presence at the San Francisco Tech Week. Talk about that in a bit here. We were at WORKTEC at the META headquarters in Menlo Park in Palo Alto area on October 9, and then we also attended the Connect Global Summit in Anaheim. Across these events, one theme was constant. AI in the workplace is no longer a pilot. It is a board-level imperative. So it's super important to recognize that as we talk to our ecosystem partners, our customers, our stakeholders, all of them are pretty clear that the AI bandwagon is everybody's gotta be on it, and it's gonna change the way we work. So we are super excited about, you know, the events we were a lot of great new clients that came to us. Our existing clients were there. We hosted a number of networking events. And we discussed and debated and the reality is everybody wants our agentic AI solution. They want it faster. Another strategic collaboration that we announced this week was, you know, our collaboration with a really cool company called Noro. We are thrilled about our collaboration with Noro. It's a pioneer in immersive telepresence. Together, we're merging Sky's autonomous AI engine with Noro's life-size presence portals. Imagine walking up to a wall in New York and speaking naturally face to face with a colleague in London. With Sky's agentic AI automatically handling context, environment, collaboration tools behind the scenes. That's how we're turning presence into intelligence. For most of our global customers, this partnership will allow hybrid project teams to occupy, I mean, occupy in commerce shared spaces in real time, seeing body language, maintaining eye contact, ensuring digital work streams, all orchestrated by AgenTeq AI. That's how Sky makes distance disappear in hybrid work. We're super excited about it. We're gonna have the first unit being installed in our offices. You know, Noro also has locations already deployed to London and New York and then Atlanta and Chicago. And we're gonna be taking to our client. We're putting the road map together in terms of the combined offering. It'll be available to clients beginning in Q1. But we're doing a lot of internal testing right now. So super excited by this opportunity and Tomaso is a great partner, and I've known him for a while. And super happy that we're working together now. So let me talk about other highlights on the product side. You know, innovation continues to define Sky's Edge. Or 1050%, enhancing colleague visibility through dynamic math, delivering a cleaner, faster UI. And this is really important because a lot of our clients this last quarter were starting their RTO plans again. Reengaging with their employees to they wanted something slicker, faster, and our team delivered. For example, one global client used the enhanced booking engine to manage more than ten thousand plus desks across five campuses. They reported a significant percent drop in scheduling conflicts in the order of forty percent or so. A double-digit increase in employee satisfaction with hybrid coordination. That's another example where as our solution, as you can see the, you know, colleague booking where you can see the screens and the people and their images and also look at, you know, the visual representation of all the things around them. It's super amazing and interesting, and it creates that engagement layer. Say, yeah. I really wanna get back to the office. I really wanna interact with these people, and I really want to get my work done faster. Now to enable that, we also have we talked about a VTS, which is our behind the scenes. Oh, by the way, before I go there, let me show you a video jumping ahead of when I talked about this at the conference at the SF Tech Week, where we had Google as our invited guests as partners, but let me share with you something that I've said there. Okay. I don't know if the video was accessible or not, but we're gonna have it available on the platform. Let me try to play it again actually with my volume one. Maybe that'll help. So that feature becomes so important. Our customer said, this is a must-have. You gotta have it. And by the v one pictures. It's like a scramble screen of all these images. Like, don't we wanna see them? Let's see who they are. Right? It's just human behavior. Dash booking is a self-created feature, meaning that there's no need for it if you have assigned desks, which we grew up with assigned desks. It was clear because of the pandemic. So you create a new problem that has now been difficult for an employee to get to the office and find a spot which creates this new set of opportunities which I think agenda AI makes it more easy and simple because you don't wanna go every morning. Where do I have to sit or what do I have to do? Whatever we make it for the recommendations for me so I can make it better. So what we do. Okay. So I think we had some technical glitch earlier, but, hopefully, the audience heard the audio that just tells you, you know, what we see as a really killer application, a killer use case wanting to have this colleague booking feature, knowing what was in the office, where they're sitting, being able to, you know, adjust your daily calendar as well as your weekly calendar based on where it is. You know? And I think it's pretty cool to see this live in motion now. A lot of our clients are using it. It's a great feature. It's a must-have for a lot of our clients. I'm super excited about that. And what enables all of this stuff is the behind the scenes, the brains behind it, and, you know, before we go there, let me talk to you a little bit about one of the big deployments that we did this quarter, which was we were live at 30 Rock. Which is a marquee place, and it's been pretty amazing to have that deployment be live now. And that took a lot of effort from our client as well as us. And as you know, it's a high-profile place, so making sure that everything is working well. Be around, you know, 6,000 users day one on that system. The system did not implode. It actually worked really well. People were super happy. Actually, the clients made some Instagram posts, as you can see there. And there were some really great activities happening. And, you know, as we look at the activity logs, we have our SkyView Analytics, we can show you the things people were doing, and it's interesting. That client actually does not do any space booking. But they were doing a lot of amenities, a lot of content, a lot of events. Most importantly, dining. Dining was the number one feature across the board. We launched not only that one site in New York, we also launched four sites across the country. One is on the West Coast. The other were on the East Coast. And it's interesting to see that, you know, there's a lot of great demand for their capability. A lot of users, we are using it every single day. And some of the sites that we thought were gonna be less using it, actually using it more. Primarily, as I said, the dining feature is a must-have. Everybody loves the dining feature. And then seeing all of the other, you know, capabilities in terms of access to all the different amenities at the offices, all the different events that you can go to, really create that engagement layer. So now all of the ideas we talked about are now in real motion, in real deployment with this client, and they're super happy with the performance. So let's talk a little bit about I mentioned the BTS, which is behind the scenes, and that is actually the key technology platform that is letting enterprise admins manage complex content faster. And now we actually are in beta trials with a full AI plug-in for natural language content creation. These migrations are beginning in Q4. And this will be fully compatible with our legacy apps offering faster administration and granular growth controls as well. And what that means is, you know, if you're the IT guy, you can get to all the information ready to IT. Or if you're an HR manager, you get all the people data. Or if you're an operation manager and you want your team data, you can have that access to that. You can, you know, provide content, notifications, all the things that are necessary for that. So it's super exciting, and this is an infrastructure player that we really believe will enable, you know, supercharge your legacy apps. So I wanna go to the future a little bit. So we've talked about our Sky digital assistant and how it works. I'm gonna play a little video of how our existing new and enhanced Sky Digital Assistant is working in our labs in San Ramon. You know, it's kinda like a Sky digital assistant. It's like an intelligent concierge. It's employees can now book, plan, and act in real time using natural language. With the system proactively suggesting actions based on calendar, location, behavior. It's a living example of AgenTeq AI. Workplace that works for you and not the other way around. I wanna play the video. Hopefully, you'll hear the audio on this. And you'll see our Sky assistant interacting with one of our engineers.
Joy Mbanugo: Hi. I'm Sky at San Ramon HQ. Can book meetings, reserve desks, or order food. How can I help today?
Khurram Sheikh: I'm on the clinic tomorrow at 2 PM for one hour.
Joy Mbanugo: Thanks. How many people including you, will be attending, and will you need a screen?
Khurram Sheikh: Oh, yeah. There will be screen people, and, yes, I need a
Joy Mbanugo: Yablo Gen with capacity for five and a screen sounds ideal. Would you like me to check its availability for tomorrow, November 12, at 2 PM to one hour?
Khurram Sheikh: Yes, please.
Joy Mbanugo: Perfect. Let me check if Diablo Den is available for you. Good news. Diablo Den is available. Booking it now. All done. I've successfully booked Diablo Den for Wednesday, November 12. From 2 PM to 3 PM. Would you like to order food for your meeting?
Khurram Sheikh: Yeah. That that that actually would be great.
Joy Mbanugo: Great. Type of food would you prefer? Do you recommend bamboo sushi for sushi? Both from tallest for vegetarian, or mixed for healthy bowls.
Khurram Sheikh: I'll go with mixed.
Joy Mbanugo: Perfect choice. I know you love the Dave's Taco Bowl from mixed. Should I order that for all three people?
Khurram Sheikh: Yes.
Operator: Great.
Joy Mbanugo: What time should it arrive? Your meeting starts at 2 PM.
Khurram Sheikh: 02:30 PM.
Operator: Perfect.
Joy Mbanugo: I've ordered three days taco bowls from Next. Being delivered to Diablo Den by 02:30 PM. You're all set.
Khurram Sheikh: So that's a gender guide work. Context-aware, proactive, and human-centered. Hopefully, you see how intuitive it was, how easy it was to use, and how context-aware it was to find the right thing for you and making it happen effectively. I know that, you know, if you turn if you put push the video on the screen, you could you could see it in real time. So we'll have that available for you after the call. And for the next video, I'll let you know how to depress it, but, hopefully, you heard the audio on this. And, you know, before I go forward, you know, Q3 was a really good quarter for us. We had a lot of these great customer highlights, deployments, as well as, you know, this new advancement with the Sky. Platform. So we're super excited about that. I'm now gonna continue to our my my partner, CFO, Joy, to give you the financial updates for Q3. Joy?
Joy Mbanugo: Thank you, Khurram. It sounds like or not sounds like, but the digital assistant just reminds me of a theme for this quarter, something I've been thinking about in the theme or keyword is momentum. So we're seeing momentum in the AI ecosystem. We're seeing momentum in the speed at which, you know, companies are implementing return to office or the reboot of return to office. So return to office two point o. And then, more excitingly, momentum in our product and think the digital assistant is, super exciting for me. I don't know if I want the whatever bowl I was ordering, but that sounds a lot of great progress there. If we go to slide 18, we can look at our three financial highlights. This was a solid quarter of execution and operating discipline. We maintained strong margins controlled OpEx, and delivered measurable improvement in profitability. Starting with ARR expansion, we closed the quarter with two large logo renewals both in the enterprise segment. These renewals reflect customer confidence in our workplace platform and demonstrate the durability of our recurring revenue base. Our subscription revenue mix reached 99%, an increase from 88% in the same quarter last year. That transition toward pure staff continues to be one of our key strategic levers. Increases predictability, expands gross margins, and creates multiyear visibility into future cash flow. Next, on gross margin, we delivered an 89% increase compared to 88% in Q3 of last year. And 86% last quarter. The steady improvement reflects the benefits of disciplined cloud cost management and more efficient infrastructure scaling. We're continuing to see leverage in our cost delivery as we optimize across multitenant environments and automate provisioning. Turning to cash OpEx, we held steady at $3,200,000 flat compared to both last quarter and the prior period. That stability reflects our ongoing focus on operational efficiency, for maintaining a lean structure while still investing in innovation and go to market execution. Finally, on profitability and earnings per share, we improved earnings per share this quarter to negative $0.13 a substantial gain negative 34¢ the same quarter last year. That's a very clear signal that our cost controls and recurring model are working together to improve the bottom line. We can go to Slide 19, which is our quarter over quarter comparison.
Khurram Sheikh: Revenue came in
Joy Mbanugo: at $1,100,000 compared to $1,200,000 in Q2. The modest decline reflects the shift in revenue mix. We saw lower hardware-related sales this quarter consistent with our strategy to phase out noncore components and focus on software-led growth. Cost of revenue, decreased from a 171,000 to a 123,000, which drove an improvement in growth profit to 991,000 and lifted gross margin to 89%. That gain was driven primarily by tighter control over cloud utilization and vendor optimization. Looking at operating expenses, total OpEx declined to 4,800,000.0 from $5,200,000 in Q2 an 8% reduction quarter over quarter. Most of that was related to some of that was related to savings in other areas, and you will see an slight increase in g and a, but that is primarily due to stock-based comp. Just because we have a large amount of stock that vest for employees in Q3. So you always see that probably quarter over quarter. Overall, the shift demonstrates flexibility of our operating model. We're able to scale innovation while containing discretionary spend. As a result, law firm operations improved to three point negative three point eight million compared to negative 4,100,000.0 in Q2 twenty twenty five. That's continued progress quarter over quarter as we execute against our goal of reaching breakeven as we execute reaching breakeven eventually. I also like to talk about our cash position. We remain very healthy with our cash position. We ended the quarter or as of right now, today, actually, with $9,000,000 in the bank. And with our equity and debt of fundraising that we've done throughout the year, we have access to cash that should last at the least for the next two years. In summary, Q3 showcased steady discipline performance, improving gross margins, consistent OpEx, and expanding recurring revenue. For managing growth, and profitability in tandem, ensuring Sky's position positioned to scale efficiently while driving durable shareholder value. Back over to you, Khurram.
Khurram Sheikh: Thank you, Joy. So I wanna talk a little bit about the future here. You know, at as of tech week, we hosted a panel moderated by Samra Khan, who heads up system integrator partnerships at Google Cloud. She talked about the inclusive and immersive workplaces of the future. It's a very interesting talk. So I'm gonna play a snippet of it. What I ask the audience is please press on the play button so you can watch the video, but you're gonna hear the audio through this as well. So I'm gonna start right now.
Joy Mbanugo: Speak if I'm in Foster City, my hologram is going to be sitting here. Those of you who are big Star Trek fans, I drove growing up as a kid. Was like, into it. I always believed that one day that's going to become reality. And if any of you have visited on Executive Meeting Center, we already have a demo of it. I have gone through it. It's I must say it's amazing and scary. All at the same time that you know, the hologram was eating an apple, and I'm like, oh my god. This this kid So I believe, you know, we're going to an in workspace, we're going to enter the world of Panover. There is going to be virtual reality. That's how we're going to do meetings. And I'm not saying that we're going to replace human interaction. I absolutely not. I think there is a need for that. The need for it is always going to stay there. If COVID has proven one thing, it's proven that. That human connections are important. We're going to, you know, we're going to continue to be in the hybrid environment. But I think most importantly, we going to do what what is going to get even more better in 2030 and beyond is that no matter what part of the globe you are in, your employee experience is going to be inclusive, It's going to be culturally adaptable to for somebody who's working out of Alaska versus Silicon Valley. And it's going to be it's going to be inclusive, which I think is very, very important. That's why I think for children, reality is going to be a big part of it. I wouldn't be surprised if I'm talking to around five years from now. And he's like, hey. I've been testing this new app if I've met a person at and you know, I have all of this other stuff. And then he just said going to work for you.
Khurram Sheikh: It's pretty exciting stuff. And, you know, these conversations and the other conversation we've had, with great partners at our events, reaffirm that Sky is the partner choice for the world's most advanced AI ecosystems. We were very proud of our partnership with Google. And it's super interesting how they are, you know, aligned with our vision, helping us on the infrastructure side, helping us on the go-to-market side as well. And then, you know, being thought leaders with us as we look at defining future work. So I wanna summarize, you know, what you saw today, what you heard from us today, but you know, as we exit Q3 and now in Q4 moving into 2026, our priorities are clear. Three priorities. Number one, expand within our current customer base. Meaning for Fortune 500 clients, it's only, you know, two or three or four modules today. Every expansion into either analytics or content management, digital assistant that you saw multiplies ARR potential. Number two, accelerate ecosystem integrations. Partnerships, like you heard about Noro and Google Cloud extend Sky's reach beyond traditional workplace apps into immersive and agentic experiences. And third,
Joy Mbanugo: maintain
Khurram Sheikh: cost discipline while investing in AI leadership. We're balancing growth with responsibility, proving that AI companies can scale intelligently. In short, Sky is the most advanced agentic AI solution for workplace and employee markets. We're not just riding the AI wave. We're architecting it. We're building not just another AI company. We're building a category-defining enterprise cloud platform. The most advanced agent AI solution for workplace experience and hybrid collaboration. I wanna thank our employees, and extraordinary creative mission-driven team and our customers and shareholders for believing in this journey. Sky is more than a ticker symbol. It's a movement to make AI human again. We're super excited about this opportunity. Thank you, everybody, for joining the call. Gonna take a couple questions that came online. And so, Joy, if you have a list of questions, please go ahead. Yep.
Joy Mbanugo: There's one from Jackson Vanderbilt Art from Maxim. It's multiple questions, Khurram, so I'm gonna let you decide how you wanna answer all of this. But the question is give me one second. He wants the kiosk update customer feedback, and usage set, how many units deployed today versus pipeline growth, and expansion progress with largest existing customers status of testing before expanding deployments to all locations, It's a couple of our clients and just the status of testing before expanding to large deployments and maybe more information on the thirty rock deployment and how he did that.
Khurram Sheikh: Okay. Great. Thank you, Joy. Yeah. That's a lot of great questions all rolled into one. So I'll try to dissect it. So the first one on kiosk, absolutely. That's been a great product launch. We launched it with one client in Silicon Valley. They've deployed it in their campus in San Jose. It's working really well. It's super exciting for them to start using it. For their employees as they implement RTO. And that deployment was our first deployment. That, you know, it gained the traction. They wanna first, you know, ensure San Jose works really well and then deploy it globally. Around all of their 14 plus campuses. So that's an interesting opportunity. And in parallel, we've got three more clients, the existing clients who are already in pilot. And starting to that pilot phase to deployment. And a lot of them really like the fact that it's engaging. It's real-time. It's just in time. Getting actions completing, either it's booking a desk or, you know, or booking a conference room or just navigating to the right person or universal search. All of those are implemented with that, and I think there's a lot of genuine interest. I can't give you exact numbers on units right now, but I can tell you that, you know, for all the deployments in all the campuses, that we have with our clients, when they deploy one, it's obviously gonna deploy in all the different campuses. So we're excited about it, and I think there's a great opportunity, you know, coming in Q1 where we are gonna launch these other three clients. And then from those three will be the next ten. So I think that's the kind of scaling you see. On that product. On the other question in terms of our I think, Joy, was it about the other expansion opportunities. Right? So thirty Rock is an example of a large multinational media company that deployed a marquee site in New York City. It was super, super critical for them to get it absolutely right. And so it was a lot of focus, a lot of hard work. I commend the team, both our team and the customer's team for making it happen. But they not only just launched New York, they actually launched LA, and they launched Miami, and they launched Connecticut. So super excited. Actually, even though they're early customers of the product, they want the kiosk. Right away. So they're actually in trials with the kiosk. So I think all in all, it just shows that it takes a little effort to get into, you know, these clients. But once you're in there, see the opportunity. They're super excited about the potential of it. Then the outcomes, you know, through SkyView will be the test of, say, it actually, you know, really doing a great job for the employees? And I've mentioned before, my success criteria is the adoption. And we've been talking about our adoption numbers in terms of number of users, think it's gonna be number of interactions. If you look at the Sky, you know, the cloud I showed you, you know, in those six thousand day one users, there were 30,000 plus interactions. Right? It's amazing. The fact that they come to the app one time, they actually come to the app five or six times. I think those are the must-have moments that we believe create that affinity for Sky, create their affinity for the value of Sky. Then with the agenda, as you can see, everything can be done within the New York minute. And that to us is game-changing. That's why these clients are staying with us because they see the potential of how Sky with two point zero and with the AgenTeq solution is really gonna be transformative to their business and to their clients. I would tell you one of the there's a new study that I just saw that said that people are spending at least twenty-five minutes or more a day in scheduling conflicts. You know? And with what we showed you, we can take that scheduling conflicts out of the way. So you get your twenty-five minutes back or more. Then you make your life more productive. So I think we're in the phase now of moving into predictable outcomes and showing them the real value of the application, not just the, you know, the fact that the application functions, the fact that it actually transforms the way they work and the way they are productive in their environment. So I think there's a lot more coming, I would say, Jack, to answer your question, and we believe that all of our clients are destined for scale. So alright. Any other questions, Joy, that came in? Or that the only question we have?
Joy Mbanugo: That was the only one.
Khurram Sheikh: Okay. Well, I wanna close by saying thank you everybody for joining the call, for supporting Sky. I think we have a great future ahead of us as you can hear from some of the partners we are working with. We're super excited for our success, we're looking forward to giving you better and more predictable results in the future here as we start scaling the business. I think the exciting part is now coming with AI now being fully adopted in the enterprise. CIOs are not saying this is a nice to have. This is a must-have. And we believe that we have an exciting opportunity to enable them the future. So we're gonna be making a lot more announcements in the coming weeks and months. In terms of these opportunities. So stay tuned, and we look forward to having our next earnings call or annual call hopefully early next year. But till then, thank you everybody, and have a good evening.
Operator: Thank you. This does conclude today's conference call and webcast. You may disconnect at this time. Have a wonderful day. Thank you once again for your participation.